Operator: Good afternoon. My name is Jessie, and I will be your conference facilitator today. At this time, I'd like to welcome everyone to the Q4 2019 Earnings Call. [Operator Instructions] As a reminder, ladies and gentlemen, this call is being recorded today, February 4, 2020. I'd now like to introduce Eddie Capel, CEO; Dennis Story, CFO; and Matt Humphries, Senior Director of Investor Relations. Mr. Humphries, you may begin your conference.
Matt Humphries: Thank you, Jessie, and good afternoon, everyone. Welcome to Manhattan Associates 2019 Fourth Quarter Earnings Call. I will review our cautionary language and then turn the call over to Eddie Capel, our CEO. During this call, including the question-and-answer session, we may make forward-looking statements regarding future events or the future financial performance of Manhattan Associates. You are cautioned that these forward-looking statements involve risks and uncertainties and are not guarantees of future performance and that actual results may differ materially from the projections contained in our forward-looking statements. I refer you to the reports Manhattan Associates filed with the SEC for important factors that could cause actual results to differ materially from those in our projections, particularly our annual report on Form 10-K for fiscal year 2018 and the risk factor discussion in that report. We are under no obligation to update these statements. In addition, our comments include certain non-GAAP financial measures in an effort to provide additional information to investors. All non-GAAP measures have been reconciled to the related GAAP measures in accordance with SEC rules. You'll find reconciliation schedules in the Form 8-K we submitted to the SEC earlier today and on our Web site at manh.com. Now I'll turn the call over to Eddie.
Eddie Capel: Terrific. Thanks, Matt. Well, good afternoon everybody, and thank you for joining us as we review Manhattan Associates’ 2019 fourth quarter and full year results. So, Manhattan reported another strong quarter to wrap up what has been a record year, kind of a year of firsts, if you will. We reported all-time record revenue as expected, record cloud revenue; all-time record software revenue, cloud plus license; and all-time record services revenue. Additionally, since our IPO in 1998, 2019 marked our fifth best year for adjusted operating profit and second highest year for operating cash flow. And furthermore, we’ve continued the disciplined management by our share buyback program by investing $116 million to repurchase 1.64 million shares in calendar year 2019. We’re pleased with this performance when you consider that we’re about 2.5 years into a major five-year business transformation, investing in advance of growth and growing headcount rapidly to meet market demand. And as Dennis will detail later, our 2020 guidance calls for another record revenue year. Turning back to the fourth quarter for a moment, we reported total revenue of $153 million, adjusted operating margins of 21.8%, and adjusted EPS of $0.40. Year-over-year, fourth quarter 2019 total revenue grew 6% with adjusted operating margin and adjusted EPS exceeding our expectations by 280 basis points and $0.09 respectively. Cloud, maintenance, and services revenue all exceeded their Q4 targets, giving us the positive momentum as we exit 2019 and focus on delivering in 2020 and beyond. So just going a little further into the financial details of the quarter, we recognized 9 million in license revenue in the quarter. And going forward, we expect our license revenue to continue to decline as customer demand for true cloud is increasing more rapidly than we anticipated when we announced our transition to becoming a cloud-first company. Now turning to Cloud, our Q4 revenue totaled nearly $16 million, growing 131% over prior year and 103% for the full year. We continue to receive strong inbound interest in subscription models for our supply chain management solutions, including WMS, scale, transportation, omni-channel, and inventory, which we view as a strong indicator of pent-up market demand and sources of future growth for our company. Cloud deal activity was solid in Q4, but we did have a few deals slip into January. Total software revenue of $25 million in the quarter marking a strong end to the year. And for the first time ever in a quarter, cloud revenue surpassed license revenue. And we expect this to be a permanent trend as our cloud pipeline is growing more rapidly than license, reflecting that market demand I mentioned. And as we’ve discussed in the past, we remain focused on the following key growth pillars to drive further operational and financial performance of our company. First, market-leading product innovation. We invested $81 million in R&D in 2019, which is about 20% higher than prior year. And in 2020, we expect to invest about $88 million in R&D as our commitment to innovation continues to manifest itself through the delivery of new and innovative solutions that differentiate us as the leading provider of supply chain inventory and omni-channel commerce solutions. And this consistent focus on innovation allows us to deliver market-leading solutions to drive customer revenue growth and lower the total cost of ownership while reducing time to market, positioning our customers for success in a highly competitive and rapidly evolving business landscape. And in turn, we plan to leverage these innovative offerings and have record of customer success to expand our global pipeline and increase the size of our total addressable market, which is a great segue into our second pillar, pipeline growth. Our global pipeline continues to remain strong for cloud and services. And regarding license pipeline, while solid we are seeing the market shift to cloud preference for WMS, which we factored into our license guidance. And while still early, cloud WMS deal activity, bookings and strength and pipeline activity indicates increasing market demand for WMS in the cloud. We continue to be very encouraged by our new customer signings and by the concentration of potential new customers in the global pipeline with over 50% of our deal opportunities representing net new logos. Our third pillar, our services business. Our global consulting teams continue to operate at or near capacity with ongoing demand for services across our market-leading Manhattan active omni channel, inventory and supply chain solutions. Our services business delivered 86 million in revenue in Q4’19, growing 2% versus a strong 2018 comp, and due to strengthening global demand from new product sales and system upgrades, we increased that capacity 12% in 2019, and continued to recruit aggressively to meet the demands while ensuring customer satisfaction. And a final and fourth pillar, sales and marketing. In 2019, competitive win rates remained strong at nearly 70% against head to head competition with approximately 30% of licensing cloud sales coming from new customers, and verticals driving more than 50% of our licensing cloud revenues for the quarter were retail, consumer goods, and food and beverage. Investments in sales and marketing were up 9% in 2019 as we focused on driving further brand recognition, product awareness, and account coverage globally. I'd like to provide you a few brief updates on product innovation across the Manhattan product suite and provide a couple of comments on how they performed during the recent peak holiday season. So, let’s start with point of sale. We continue to make solid progress on building market awareness around our cloud native, point-of-sale offering. At this year’s NRF event, we found great enthusiasm for the solution and that's because word really continues to grow throughout the retail industry about a highly differentiated and market leading technology with the market agreeing with us that only true omni-channel approach to point of sale will work for the challenging retail landscape. Our recent highly successful go lives and project initiations of several high-profile retail chains are serving to further validate our vision for point of sale. Now, speaking of applications that support today's digital native shoppers, we're seeing an influx of interest in our recently released digital self service capabilities. These capabilities provide digital native shoppers the ability to drive many aspects of the post purchase experience themselves. And today's leading omni channel brands are placing an increasing emphasis on the post purchase portion of the buyers’ journey. And because of that depth of capability in OMS, we think we're uniquely positioned to provide best-in-class, end consumer experiences in this area. And on a related note, I'm happy to share that the recent peak holiday period was our most successful ever. That was measured by the performance of our order management and warehouse management systems. Given the direct consumer portions of our customers’ businesses were up pretty much across the board, most with increases well into the double digit percentages. Manhattan Active Omni was able to smoothly handle some pretty dramatic spikes in volume. In fact one of our customers processed 28 times their average daily volume on Cyber Monday, and another shared with us that our fulfillment solution allowed them to ship nearly 50% of their direct-to-consumer orders from their source. And we believe that only Manhattan Active Omni can provide both the leading functional capability and advanced application architecture to generate these types of outcomes for our customers. And as for WMS, I'm happy to report a similar outcome. Shipment volumes were an all time highs as customers generated record levels of productivity using Manhattan WMS. In particular, customers employing our new order streaming capabilities saw particularly strong results with higher picking productivity and dramatically lower click-to-ship duration. The outcomes generated by order streaming strongly support I believe that wave less processing is indeed the future for warehouse operations. And I'll close my product-centric comments by noting that Q4 is another positive quarter for our TMS business. Many of the market factors that I've noted in prior calls continue to help us close additional TMS businesses past quarter. And while we closed some very nice deals here in the Americas, of particular note was the addition of a large European grocer to our TMS community. And I’ve shared with you on prior calls that expansion of our TMS business into Western Europe is one of the strategic objectives. So it's particularly heartening to be selected by a TMS customer who has no pre-existing relationship with Manhattan Associates. So that covers the broad business update. Dennis is going to provide you with an update on our financial performance and discuss our 2020 full year guidance in quite a bit more detail, and then I'll close out prepared remarks with a brief summary. So Dennis?
Dennis Story: Thanks Eddie. Fourth quarter total revenue was $152.9 million with 6% organic growth over the prior year. Full year total revenue was $617.9 million, 11% organic growth over 2018. Excluding the impacts of FX, total revenue was up 12% on the year. Adjusted earnings per share was $0.40, GAAP earnings per share was $0.26 with stock-based compensation accounting for the difference between adjusted and GAAP EPS. License revenue was $9.2 million in the quarter, which is down year-over-year and sequentially as we've discussed previously. From 2017 to 2019, our license is attributed 32% on increasing demand for WMS in the cloud. We expect attrition to continue as market demand for WNS and the cloud continues to grow, with a full year 2020 estimated license range of $26 million to $30 million, down about 43% at the midpoint. For the first quarter of 2020, we are targeting approximately $7 million to $8 million in license revenue. For cloud revenue, cloud revenue was up $15.7 million, up 131% year-over-year, driven by robust customer demand for our cloud solutions. For full year 2020, we estimate cloud revenue range of $77 million to $80 million growing about 68% at the midpoint. Just for some context, it took us 18 years to grow our license revenue to $70 million run rate versus our cloud business, which is on pace to generate nearly $80 million in only 3.5 years. For the first quarter of 2020, we are estimating cloud revenue to be approximately $16 million to $16.5 million roughly double the prior year. For full year 2020, we estimate our total software performance to be $103 million to $110 million, which will be another record year while absorbing $21 million decline in license revenue over 2019. Our cloud to license software mix in 2019 was 49% cloud, license 51%. In 2020, we expect our mix to dramatically shift to be about 75% cloud and 25% license. Regarding bookings, as we've discussed remaining performance obligation or RPO is the leading proxy for our cloud bookings performance, and represents the value of contractual obligations required to be performed, otherwise referred to as unearned revenue or bookings. Our RPO for the quarter totaled to $172 million, up 123% over prior year and 13% sequentially. For 2020, we are estimating a year end RPO range totaling $265 million to $275 million, up 55% to 60% over 2019. For Manhattan, this disclosed value represents our cloud bookings value of unearned revenue under non-cancelable contracts greater than one year. Contracts with non-cancelable term of one year or less are excluded from the reported amount. One last point on licensing cloud. As you know, our performance continues to depend on the number and relative value of large deals we closes in any quarter. While large license deals historically have been important, our markets continue to shift towards subscription models. While this is positive, deal sizes may be slightly smaller as subscription revenue is recognized overtime. Further, some customers have longer implementation cycles associated with large distribution footprints, requiring a ramp subscription model, which can impact sequential and year-over-year revenue growth. We also retain appropriate caution around slow decision making by some clients and prospects, particularly retailers and potential global macro and geopolitical events that could impact business investment cycles. So shifting to maintenance, revenue for the quarter totaled $38 million or 4% versus the prior year on strong cash collections. Retention rates remain strong at greater than 95%. For 2020, we believe our maintenance revenue will begin to gradually decline over 2019 on the combination of lower license revenue and more importantly, as demand from our WMS install based against to convert to cloud subscription. We expect our maintenance revenue to be down slightly versus 2019 to be about $146 million for the year. For Q1 2020, we estimate maintenance revenue to be approximately $34 million to $35 million. Turning to services. Consulting revenue for the quarter totaled $86.3 million, up 2%. Excluding the large government agency managed services contract conversion to cloud in Q3, our Q4 services apples-to-apples growth was 5% over 2018. As expected and discussed on our Q3 call, services revenue was down 6% sequentially due to retail peak seasonality as customers idled implementation work in order to focus on the holiday selling season. We are targeting Q1 2020 services revenue of approximately $91 million to $92 million representing growth of approximately 3% to 4% over the prior year, so factoring in our Q3 2019 large government contract conversion, apples-to-apples Q1 growth of 7% to 8%. For 2020 full year, we are estimating services revenue to be about $383 million, within a range of $381 million to $385 million, with growth of 6% to 7% and apples-to-apples growth of 7% to 8%. Our consolidated subscription, maintenance and services margin for the quarter was 50.9%, largely driven by increased headcount and cloud and consulting services. We expect Q1 2020 subscription, maintenance and services margin to be about 49% due to these ongoing investments. Turning to operating income and margin, Q4 adjusted operating income totaled $33.4 million, with an adjusted operating margin of 21.8%. For full-year 2020, we are estimating an operating income range of $130 million to $136 million, with a midpoint of $133 million. For Q1 2020, we are estimating adjusted operating income of $27 million to $28 million and adjusted operating margin of 17.7% to 18%. Our sequential decline in margin from Q4 2019 is driven by our license forecast for Q1 2020, combined with continued growth investments across our business in people and facilities, including R&D, sales and marketing, cloud ops, consulting services and annual compensation increases and FICA taxes reset. We expect our Q4 adjusted effective income tax rate in Q4, pardon me, was 21%, and our full-year rate at 23.7%. We expect our Q1 2020 adjusted effective tax rate to be approximately 24%. Regarding our capital structure, as Eddie mentioned, in Q4 2019, we repurchased approximately 445,000 shares worth $35 million. And for the full year, we repurchased 1.6 million shares worth $116 million. And last week, our board approved replenishing our repurchase authority limit to a total of $50 million. For 2020, we are estimating 64.7 million diluted shares outstanding and 64.5 million in the first quarter of diluted shares outstanding, which assumes no share buybacks. Turning to cash. We closed the quarter with cash and investments of $111 million and zero debt. Our current deferred revenue balance totaled $94 million, up 15% from December 31, 2018, on maintenance and cloud billings. Q4 cash flow from operations totaled $35 million, with full-year operating cash flow totaling $147 million, up 7% over prior year. Full-year capital expenditures totaled $15.2 million, reflecting significant facilities investment to accommodate our business growth. For 2020, we estimate CapEx investment to be about $10 million to $12 million. Now I'll wrap up with our updated full-year 2020 guidance and then turn it back to Eddie for his closing remarks. For revenue, our 2020 total revenue guidance range is $644 million to $656 million, representing year-over-year growth of 4% to 6%. As we head into 2020, at the midpoint of our license revenue, we estimate a $21 million decline over 2019, which is masking our underlying growth success by about 5 percentage points. As such, excluding license, we are targeting 2020 year-over-year growth of approximately 9% to 10% for total revenue. First-half, second-half total revenue splits are 49% to 51%. And for Q1 2020, we estimate our total revenue range to be $151 million to $155 million, with $153 million midpoint, up 3% over Q1 2019. Excluding license decline impact, underlying growth was 7%. For operating margin, we expect full-year adjusted operating margin to be approximately 20% to 20.5%, which we continue to view 20% as the trough for our business as we progress in our business transition, subject to the timing of business investment. For earnings per share, we expect that our adjusted EPS guidance range will be $1.53 to $1.60 per share with a 46%, 54%, first-half, second-half split. So it's 46% of EPS in the first half and 54% in the second half. Our GAAP EPS range is estimated to be $1.12 to $1.19. And for Q1 2020, we expect our adjusted EPS range to be $0.32 to $0.34. Lastly, as many of you know, we are two and a half years into a major business transformation and is helpful to provide some context as to how we're performing relative to those aspirational goals we outlined in late 2017. First, our total revenue growth is definitely exceeding our expectations. Barring any major macro events, we would expect this to continue, a very strong affirmation of our decision to pivot to cloud. This is even in light of accelerated license declines which have been much faster than originally assumed. From a cloud revenue perspective, we are on target for our growth goal of 72% to 82% CAGR. If you reference our RPO growth and RPO dollar value, we're very comfortable with how our cloud business is progressing. As a result of the accelerated declines in our license business, combining with the timing of investments to drive long-term sustainable revenue growth, our operating margins are behind our aspirational target in 2022. We fully expect continued and incremental operating leverage in the business moving forward, but the pace of such increases will be slightly lower than initially modeled. Our free cash flow targets remain very strong, and we would expect these to progress favorably going forward, enabling us to continue to self-fund our growth and innovation. In summary, we are guiding to another record year of total revenue, while continuing to aggressively invest in our business to drive long-term sustainable revenue growth. We remain focused on delivering on our goals, while growing revenue and delivering top quartile operating margins as we progress in our cloud transition. We remain very positive on the opportunities to grow and expand our business globally with the discipline and rigor that our shareholders continue to expect. So thank you very much. That covers the financial update. Back to Eddie for some closing comments.
Eddie Capel: Well, thank you, Dennis. Overall, we're very pleased with our performance in the past year, and we continue to focus on driving operational and financial results as we progress further on our cloud journey. With a strong business foundation, we expect to further extend our market-leading position within supply chain and omnichannel commerce solutions. And as we do so, we're continuing to innovate in advance of the market demand, leveraging our technical and domain expertise in order to provide our customers solutions which position them for success in a dynamic and rapidly changing world. We see no shortage of opportunities to expand our addressable market while further strengthening our competitive positioning. Ongoing engagement with our customers, combined with a very strong competitive win rates, further validates our strategy and provides real-time feedback on the decisions we make each and every day. To wrap up, I wanted to, this time, thank all of our employees globally. Your relentless dedication and commitment to our customers and our customers' ongoing success is a key differentiator in driving long-term sustainable growth for our company and for all of our shareholders. So, thank you. Jessie, we're open to taking questions now.
Operator: Thank you. [Operator instructions] Your first question comes from Yun Kim with Rosenblatt. Your line is open.
Yun Kim: So first, it seems like there's a lot of components in your cloud subscription revenue line. Can you just kind of update us on like what's driving most of the number there beyond -- I'm assuming it's Active Omni, but how big is the transportation or even WMS contributing to that number?
Dennis Story: So, Manhattan Active Omni is driving roughly about 60% of the number, Yun.
Yun Kim: Yes.
Dennis Story: Okay. And then WMS is about 30%, and the balance is other solutions.
Yun Kim: And then, Eddie, it seems like the transportation management system business, TMS, is gaining a lot of momentum. You mentioned it in your prepared remarks. How should we view that business from a go-to-market perspective? Are you selling TMS primarily to your existing customers? Is there something specific verticals you're targeting with your TMS product? Can TMS be sold directly to Active Omni customers, for instance? Thanks.
Eddie Capel: Certainly, you do not have to own any other Manhattan products to be able to benefit from our TMS solution. The primary verticals, certainly, retail, CPG, and automotive, for sure. We've got great expansion opportunities internationally. We generally focus our TMS solution on North America from a go-to-market perspective. And starting last year, we started to begin to open up and market our TMS solution internationally, and we're pleased to see some reflected growth there. Now the interesting thing is that, if you look at all of the industry analyst reports and so forth, what you'll see is the TMS market, roughly speaking is about the same size as the WMS market. However, our market share is much smaller. So, we see a real opportunity there as there is obviously great symbiosis between WMS and TMS for additional operational efficiencies. So, we're pretty bullish on this solution. And then finally, I would say, I think we all know, and frankly, we've talked all of us ad nauseam a little bit about driver shortage, capacity shortages, and those kinds of things that are driving the need for sophisticated optimization.
Yun Kim: Real quick, just last question on Dennis, just housekeeping stuff. Question you'll get every quarter, the contract length of new subscription deals that show up in the RPO, has that changed much in the quarter? Thanks.
Dennis Story: No, it has not.
Operator: Your next question comes from Terry Tillman with Suntrust Robinson. Your line is open.
Terry Tillman: Nice job with the results. I guess the first question is, it is interesting to hear an RPO kind of bogey for, I guess, the end of 2020. So, I'm kind of curious because that is the first time, I think, I recall any guidance. And I know historically, this idea of under promising over delivering, but I'm just curious, the confidence level and kind of visibility you have considering these are still emerging parts of your business on that target for RPO and then I had a follow-up.
Dennis Story: We wouldn't put it out there if we didn't feel confident.
Eddie Capel: Well, I think the thing that gives us confidence, Terry, is the pipeline for sure. We've indicated that our cloud pipeline is growing considerably faster than our license pipeline, the inertia and the momentum of cloud, particularly in the back half of 2019 when we, again, start to see cloud revenue surpass license revenue for the first time. And then, of course, while anecdotal, if you want to call it that, we're close to our customers. And the conversations that we're having with our customers lead us to believe that that is a solid number, and including the momentum that we're seeing for WMS in the cloud.
Terry Tillman: And maybe a follow-up and just speaking for myself here, I had some pretty miserable experiences in the store in terms of point-of-sale like not working, having to go to another register, etc. And so, I know there's lot of old technology in the market for POS, and you've had some early launch customers now, but as we look into 2020 and some of the targets here for RPO and just the cloud subscription, how do we think about the ramp in POS? And then I had a follow-up for Dennis.
Eddie Capel: So, there's not a big ramp expectation for point-of-sale from an RPO perspective in 2020. However, I would say that we're definitely feeling the flywheel begin to gain momentum. All of the things that you said about aging technology, poor customer experiences, the need for a real omnichannel strategic selling platform is clearly out there. As we're driving brand awareness, having more conversations with customers and prospects, it really feels like that, what we're bringing to market first of all is differentiated, and secondly, is what the market is looking for. Now this is enterprise class selling and customer adoption here. So, the consequence of that is, I don't expect to see a big RPO impact in 2020, but I would say that it definitely feels good and the flywheel, again, is beginning to build solid momentum.
Terry Tillman: And then Dennis, just the last question is just related to -- you commented about potentially starting to see some conversion of maintenance to cloud deals. Anything to think about how that ratio looks and just how much we might see of that in '20? Thank you.
Dennis Story: Not a lot of intel there to share at this point in time, Terry. What I would think is, when we look at the back half of 2019, that's a lot of what we're basing our go-forward guidance and estimates, whether it's the revenue side or the bookings side of the business.
Operator: Your next question comes from Brian Peterson with Raymond James. Your line is open.
Brian Peterson: So Dennis, I wanted to hear on your comments about some of the longer-term margin objectives. It's pretty clear from the call that you guys are in investment mode. Is it fair to think about continued growth investments in R&D, sales and marketing, etc.? Should that continue into 2022? And I'm just curious how we should be thinking about that going forward?
Dennis Story: I think if our point of view is, one, investing significantly in innovation to drive top-line leverage, as you can imagine, as we get that leverage, it's going to drive greater demand for sales and marketing talent in the organization. So we're looking to continue to invest in the organization and create some incremental margin going forward.
Brian Peterson: And maybe just a clarification, Dennis, I think that the services guidance for 2020 went down a little bit versus your prior expectation? I didn't catch the reason there. I just want to make sure I understand the moving parts. Thank you.
Dennis Story: Part of it is the FEMA impact coming out of services and being a little bit conservative there, Brian.
Operator: [Operator instructions] Your next question comes from Mark Schappel with Benchmark. Your line is open.
Mark Schappel: Eddie, I was just wondering if you could just address the outlook for quota carriers you have in the coming year?
Eddie Capel: You mean in terms of the number of quota carriers, Mark?
Mark Schappel: That's right, yes.
Eddie Capel: So as we've said before, we've got a highly tenured sales organization that are very effective, very efficient and world-class from that perspective. However, we do expect to increase quota-carrying reps somewhere in the 10 to 12 -- kind of 10% to 12% range would be the objective for 2020. We're currently at about 70. So look to see us at the high 70s or maybe touching 80 by the end of the year.
Mark Schappel: And then in addition to that, given the growing aspect of your sales force over the last year or so, any significant changes to the sales force or sales organization like big major territory realignments coming on?
Eddie Capel: No, but we have the one adjustment. I wouldn't say it was a change, it's just sort of a modest adjustment. We have been bringing onboard domain experts in the retail store system order. So we've already -- we brought on some TMS experts. We're pretty deep on the WMS side, as you know. We're pretty deep on the omnichannel side. But we're also bringing on particularly the store system side, and then continuing with international growth.
Mark Schappel: And then product-wise, in your prepared remarks, you mentioned your relatively new WMS auto streaming capabilities. I was wondering if you could just give us a real-world example or two of how your customers are using that feature?
Eddie Capel: It's a tough one, but the real simple example is, for several decades now, generally the process has been, take a big, big chunk of orders, drop those down to the warehouse and then optimize the fulfillment process. And the theory generally has been, frankly, the bigger the chunk of work, the more optimization you can do and the more efficiency you can drive. And that's still true. It works great except for the fact that when you're particularly in a direct-to-consumer world where you've got to get an individual order out, I mean, going through extremes here of course, you've got to get an individual order out of the building very quickly for same-day delivery, it can't be batched up behind a huge amount of work. So what we've been able to do is develop a system that is essentially batch-less or waveless and allows a continuous stream of work optimizing the human capital inside of the warehouse and the ever-growing amount of automation and robotics. The result is a much shorter click-to-ship times for our ad customers and ultimately, the consumer, which is sort of required, but also we're driving much greater productivity and picking efficiency, replenishment efficiency inside the distribution center, a little longer than I thought, but that's the short version.
Dennis Story: Greater throughput through the facility, Mark and a lot of strong demand for that innovation capability…
Operator: There are no further questions at this time. I turn the call back to the presenters.
Eddie Capel: Well, thank you, everybody, for joining us for full-year 2019 and Q4 results. We're very proud of the results. We were very pleased and we're particularly pleased with the momentum that we're carrying into 2020. So thanks, again, for your support, and we'll look forward to speaking to you about three months from now.
Operator: This concludes today’s conference call. You may now disconnect.